Operator: Good morning. My name is Sheryl, and I will be your conference operator today. At this time, I would like to welcome everyone to the AutoCanada, Inc. Second Quarter Results Conference Call. [Operator Instructions] Thank you. Erin Oor, Vice President of Corporate Development and Administration, you may begin your conference.
Erin Oor: Thank you, Sheryl. Good morning and thank you for joining us on today's call. Today, I'm joined by Paul Antony, our newly appointed Executive Chairman; Michael Rawluk, who was appointed President of AutoCanada just over a month ago; Chris Burrows, our Chief Financial Officer; and Bill Berman, our newly appointed Vice President, United States. Before we discuss the quarter and other changes at the company, let me remind everyone that certain statements in this presentation may be forward-looking in nature. I would refer you to our more complete related disclosures contained in AutoCanada's most recent annual information form. These statements include - involving known and unknown risks, uncertainties, and other factors outside of management’s control that could cause actual results to differ materially from those expressed in the forward-looking statements. AutoCanada does not assume any responsibility for the accuracy and completeness of the forward-looking statements and does not undertake any obligation to publicly revise these forward-looking statements to reflect subsequent events or circumstances. For additional information about possible risks, please see the AIF dated March 15, 2018 which is available on the SEDAR website as well as on AutoCanada's website within the Investor Documents & Filings section. With that, let me turn the call over to Mr. Paul Antony.
Paul Antony: Thanks, Erin, and good morning, everyone. Thanks for joining the call. As all of you know, this is my first AutoCanada quarterly call, just being elected to the Board, the most recent AGM, and then being appointed as Executive Chairman yesterday. I do welcome the opportunity to lead AutoCanada and contribute to building out what, at its core, is a very good business, and we have some challenges to address, though, and I look forward to reporting on our progress in the quarter to come. With that said, I'm going to go a little bit off-script here. I just want to set the tone for things going forward. We intend to be fully transparent with you, all of our stakeholders. Going forward, we intend to use these conference calls as our main method of communicating with you, and then, between quarters, having our head down and working really hard. So if you have any questions today, we're going to answer them to the best of our ability, be fully transparent, and we'll kind of see you at the next quarter. So, with that, AutoCanada has issued two releases following the close of market yesterday, one announcing the changes to our board and management and the others with our results for the second quarter. There's a lot I want to cover today and spend a little time first reviewing what's taking place both within the company and then reviewing our results, and then focus on where we're going and the changes that will start having an impact this quarter and into the future. We’ll then open up the call to your questions. As you all know, it was a very challenging quarter for AutoCanada, and that led to comprehensive review with every aspect of our business. We recently established a special committee of independent directors to review alternatives to maximize shareholder value. And the result from this work is renewed board and a renewed leadership team that are both focused on making fundamental changes to our operation so we can deliver the kind of top line revenue numbers and bottom line profitability that we believe this company is capable of delivering. I'm going to spend some time highlighting these changes. At the Board level, we welcome three new directors yesterday, Michael Rawluk, Stephen Green, and Elias Olmeta. Michael was appointed President of Auto Canada in early July, most recently a Chief Operating Officer of a large multi-branch chain of 22 stores/dealerships. He began his automotive career more than 15 years ago. Stephen Green previously served as Executive Vice President, Legal And Corporate Secretary of what is now IHS Markit, a global information provider. Elias Olmeta is the Executive Vice President and Chief Financial Officer of Mitchell International, a provider of software to the automotive industry. They also do healthcare as well. As was previously announced, Gordon Barefoot stepped down from the board following yesterday's meeting. Gordon was Chairman of the Board and part of Auto Canada for the last 11 years. His contributions were extensive, and we do thank him for his efforts over these many years. Two other directors stepped down from the board as well over the summer. We thank Michael Ross and Arlene Dickinson for their contributions to the company. With these three new additions we have a good balance between incumbents and those new to the company. There have also been a number of changes within the management team. As you will have seen Stephen Landry has taken a new responsibility and will serve Auto Canada as Special Adviser on OEM relationships and dealership acquisition. Stephen is particularly well-suited to this role given his background. I've moved into the role of Exec Chair and will take on the role of providing overall leadership for the business while continuing to serve as Chairman of the Board. Chris Burrows will be leaving the company at the end of the day to pursue new opportunities. We have commenced the search process for Chris's replacement. I'll remind you that Chris and Stephen both played key roles in the rapid evolution of Auto Canada from that of a founder-led Western Canadian-focused business with a limited number of brands to a national automotive retailing group selling most major brands in the industry. I'm also pleased to welcome William Berman to AutoCanada. As many of you will know, Bill was most recently the President and Chief Operating Officer of AutoNation, North America's largest automotive retailer, and he brings 20 years’ experience to his role which is President-United States. With that high-level recap of the changes to the board and management, let me turn the call over to Chris Burrows for a recap of our financial results for the second quarter. Following Chris' presentation, I'll walk through some of the changes that have begun to better position AutoCanada for success starting in the third quarter. Chris?
Christopher Burrows: Thanks, Paul. Before I get into some of the key metrics, I will remind everyone that our complete second quarter report including our MD&A was released yesterday and can be found on AutoCanada’s Investor Relations website and under our profile on SEDAR. Let me recap our performance from the quarter. Revenue was down 1.6% in the second quarter to $880.6 million with same store revenue down 5.1%. We had two major contributors to the decline in same store revenue. The first was the divestiture of GM dealerships as part of our three-way agreement with Canada One Auto Group and General Motors of Canada, which ultimately allowed AutoCanada to own and operate GM dealerships. This accounted for a $100 million decline in revenue, all of which was also part of same-store revenues in 2017. The second contributor was the relatively poor performing FCA brand platform which nationally saw an 11% decline in sales. We saw a decline in our FCA revenue of close to $46 million. Taken together, these two factors contributed approximately 15% to our decline in revenue. We do see the FCA numbers potentially improving as the new RAM truck becomes available at more of our dealerships. Operating expenses were $128.7 million and included $4.5 million of management transition costs. This was up 14% from the same period last year. Operating expenses as a percentage of gross profit were 91.6%, up from 78.5% over the same period in 2017. Gross profit was $140.6 million down 2.3% compared with the same quarter in 2017. Gross profit as a percentage of revenue decreased slightly to 16% from 16.1%. Same-store growth profit declined 4.3%. AutoCanada sold 12,506 new vehicles in the second quarter, down 6.9% in the same period last year. Revenue from the sales of new vehicles was $522.1 million, down 6.5%. The sale of new vehicles accounted for 59.3% of the company’s total revenue and 21.8% of gross profit compared to 62.4% of revenue and 26.8% of gross profit in the second quarter of 2017. On a same-store basis, unit sales and revenue from new vehicle sales were down 13% and 8.7%, respectively. Offsetting the decline in number of vehicles sold was an increase in the average revenue per vehicle sold of $2,028 or 5%. Used vehicle sales were 6,013 units, up 18.8% compared to last year. Revenue from the sale of used vehicles was $198.6 million, up 8.6% year-over-year. The sale of used vehicles accounted for 22.6% of our total revenue and 9.4% of gross profit versus 20.4% of revenue and 9.1% of gross profit in the second quarter of 2017. On a same-store basis, unit sales and revenue from used vehicle sales were up 6.2% and 2.5%, respectively. The average revenue for used vehicle sold in our same-store has declined by 2.2%. Revenue from parts, service and collision repair was $121.5 million, up 6.6% from 2017. This accounted for 13.8% of the company’s total revenue and 43.3% of our gross profit, up from 12.7% of revenue and 39.1% of gross profit for the same quarter of 2017. On a same-store basis, revenue from this line of business decreased 1.1% year-over-year primarily due to a 0.8% decrease in the average revenue per repair order completed and a decrease in overall repair orders of 397. Finance and insurance generated $38.4 million of revenue, a decrease of 2.4% from the same period of 2017. This accounted for 4.4% of the company's total revenue and 25.5% of its gross profit in line with 4.4% of revenue and up from 24.9% of gross profit in the second quarter last year. On a same-store basis, revenue from finance and insurance declined 11.4%, primarily owing to a decrease in the number of vehicles sold. EBITDA attributable to AutoCanada shareholders decreased to $10.8 million from $43.7 million last year. Including the impairment of nonfinancial assets, the company generated a net loss attributable to AutoCanada shareholders of $41.3 million or $1.51 per share. On an adjusted basis, the company generated net earnings attributable to AutoCanada shareholders of $15 million or $0.55 per share. This compares to net income of $25 million in 2017 or $0.91 per share and $15.5 million on an adjusted basis or $0.57 per share. Total impairment charges were $58.1 million in the second quarter or a $1.99 per share net of tax. Included in this total is a $44-million impairment charge related to the Grossinger Auto Group. With that, I'll turn the call back over to Paul.
Paul Antony: Thanks Chris. As I mentioned at the start of the call, our performance in the second quarter was not acceptable. While we have a portfolio of excellent dealerships and improving geographic and brand diversity, we fall short in integrating newly acquired stores and enforcing consistent practices and standards across the company. We're now addressing these deficiencies and expect to realize margin improvement in the coming quarters. Michael Rawluk has been conducting a comprehensive review of our operations and has developed a go-forward plan for the company. As disclosed, we anticipate the plan to yield an additional $30 million or more in EBITDA within the next 18 months. This is separate and apart from intended operational improvement. It's an ambitious goal that will involve managing costs while increasing sales and employee productivity. It will involve much more structured process and an operating discipline that will help our stores outperform their peers. While Michael has been introducing changes to our Canadian stores, Bill Berman will be following a similar course of action with our U.S. stores. As you will see in our second quarter report, recorded a $44 million impairment charge related to Grossinger Auto Group. This was the result of a revised expectation for the time line - to timeline of U.S. operational profitability and a downward revision to our future profitability projection for this acquisition, primarily because store quality was lower than expected and will require more time to realize needed improvements. The first step in that process was putting the right person in charge, and we have that with Bill. Strategic review that was started in June has been completed. The special committee and the board have endorsed the go-forward plan for the company developed by the President. Let me underscore my complete confidence in Michael’s go-forward plan. I've known Michael for a number of years, and I've seen how he works and what he can accomplish. Of course, the board will continue to consider any alternatives that may be available to enhance shareholder value. The automotive industry is definitely in a state of uncertainty right now, owing largely to trade-related issues. While we can't predict what will happen, our best way of managing through this uncertainty is to do what we're doing, and that is make AutoCanada a better, stronger company. Over the last quarter, we've taken a lot of steps and made a number of changes so we can achieve our goals. We're going to continue to look at acquisitions, which is why Steven’s new role will be of considerable benefit, and the market remains very attractive for further consolidation. We know we have to do better. We also know that we are beyond the point of talk. We must deliver improved results starting this quarter. We're confident we'll do that and we thank our shareholders for their patience as we make the necessary changes to our business. Their patience will be rewarded. We also thank our employees for the enthusiasm they've demonstrated in implementing many of these changes. And with that, I'd like to open the call to your questions. Operator, if you please come back and start it off.
Operator: [Operator Instructions] Your first question comes from the line of Chris Murray of AltaCorp Capital. Please go ahead. Your line is open.
Chris Murray: I guess the first question I have is just the results in the quarter were weaker than we had been expecting. Trying to understand what's going on structurally and - is there any sort of commentary you can give us from what you've been seeing in July? And also, if you can talk about FCA performance and how you're seeing that evolve through the balance of the year.
Christopher Burrows: Chris, it’s Chris. I think the - structurally, nothing specific that I’ll highlight on. Obviously, we did highlight the underperformance or the soft performance with respect to FCA. We've seen that in the industry wide across Canada throughout this year. Obviously, with our concentration of 17 FCA stores in our portfolio, many of which are high-volume stores, we as a company have felt the impact of a soft result or soft sales market for FCA in the country this year.
Chris Murray: Michael or Paul, I don't know if you - one of you want to take this, but you've talked about kind of a revised operating plan to generate, as you said $30 million or more in EBITDA. Over the last couple of quarters, we've been hearing some different things from the management team about wanting to do something similar. Can you give us more color on exactly what you're looking to do that would be either an extension or different in that plan that we should maybe be looking for in the coming quarters?
Paul Antony: So, Michael, I'm going to pass the phone over to you.
Michael Rawluk: So I think the different flavor of the go-forward plan is that it's not focused on cost cutting, but it's really focused on the synergies that are created from coordinating operations within the dealer network which can produce significantly more upside than trying to cut costs.
Chris Murray: Any additional color you can offer in terms of what kind of synergies you'd be looking at?
Paul Antony: I think that's - as far as we're concerned, we're deep in the process exploring all of our opportunities within the organization to do that.
Chris Murray: And then just one last pieces, just on the acquisition strategy, I appreciate Steven's probably still part of this discussion, at least at this juncture. Originally, the theory was to move to a more national platform balanced. But you’ve also called out the fact that you were looking to divest off a couple dealerships. Can you give us your thoughts around how the acquisition strategy looks going forward either by brand, platform and geography?
Paul Antony: Why don’t I just maybe answer that generally? I would say that we’re going to be very strategic about how we think about acquiring stores right now. Our focus needs to be building out our platform to be able to accept these stores in the best possible way. And so while we're not going to turn down any great opportunities, high-quality stores are very difficult to come by. And so we'll definitely be looking at those. Our main focus right now more than anything is building out the operational excellence and muscle within our organization. And so our goal is to ultimately have a balanced platform across the country, and that means balanced brands and balanced geography. And so, when we look at our portfolio if it doesn't fit at this point in time, then we’ll look to exit and enter where it does. Does that make sense?
Chris Murray: And any color on the divestitures around what you might be shedding?
Paul Antony: I think at this time, we’ll just leave it at that.
Operator: Your next question comes from the line of Steve Arthur of RBC Capital Markets. Please go ahead. Your line is open.
Steve Arthur: First off, just to follow up on Chris’ question on the plan ahead. Fully recognize it’s pretty early days and a lot is being cooked now. But is there any examples of the kinds of synergies that you’re looking at across the dealerships and that kind of stuff? It would be interesting to hear that color; or perhaps more importantly just the target of all this, if we roll the clock ahead a year or two, more importantly, just the target of all this, if we roll the clock ahead a year or two, what the target business model might look like and any kind of key metrics that you’ll be tracking and reporting on and we can watch for in future quarters?
Paul Antony: So we'll give you a little teaser. Maybe that's just to give you an idea. We've never really had a subprime portfolio of a business and we think that building out that capability within our organization opens us up to a lot more auto sales and a lot more service contracts. They're just – it's another world that we intend to open up for our organization. And that's just one of many things that we have in our go-forward plan.
Steve Arthur: Will there be like target metrics, target business model, things like that, that you’d be talking about that are different in future quarters or things that we can use to kind of track the progress?
Christopher Burrows: Yes, I think, Steve, as the company rolls forward, definitely you'll start to see information come from AutoCanada in the third and fourth quarter or the first quarter or early quarters of next year. I mean, obviously, as we've disclosed, it's $30 million EBITDA improvement over the next 18 months. And I think the reasonable expectation will be to understand how that's flowing in and where that is coming, so they'll kind of come in two different ways. Honestly, Steve, it’ll come through kind of enhanced disclosure in terms of financial operating performance inside the MD&As and the news releases, the continuous disclosure doc. In terms of specific indices, metrics, KPIs at this time, I would suggest that there's more development coming in this regard for the future.
Steve Arthur: Just on Grossinger Group, a few surprises there obviously. Just wondering if you can dig in a little bit in terms of whether the main issues there are sales-related or cost-related and what that roadmap looks like for that part of the business?
Paul Antony: Obviously, Steve, as we started to really get our hands in that business and wrap our arms around the operations of it, what we've uncovered is that the pathway to profitability on those stores is going to - is, A, going to be lower and, B, going to take longer. And as we revise and recast those forecasts on that profitability, I think that that's how we arose to where we're at on the Grossinger Group. In terms of specifics in those stores, it's not a singular type of an issue in any given store. As we've disclosed, there's nine different locations, nine rooftops in that area, and each of those stores have to have their own unique challenges among them.
Steve Arthur: Final one for me just on the balance sheet. Just your thoughts on where you stand versus the covenants. I think the one – key one we were looking at 3.7 right now versus a 4.0 covenant. Probably not too much debt repayment in the near future, I'm guessing, so – and you're coming off of a couple of weaker EBITDA quarters. So I guess just your confidence – so if there's a question here, it’s your confidence levels in the Q3, Q4 EBITDA numbers versus a year ago just to keep yourselves onside with those covenants.
Christopher Burrows: So I think that there's kind of two things to say on this regard is, first and foremost, as you heard in Paul's earlier comments that the time for change is now, the time for improvement is now. So very, very confident in where we're going for the third quarter. The other thing that I will say is all of the partners with inside the credit facility syndicate remain committed and very supportive to AutoCanada and its future direction. So, I would not anticipate any stress or pressure unnecessarily from any of the syndicate partners.
Operator: Your next question comes from the line of Michael Doumet of Scotiabank. Please go ahead. Your line is open.
Michael Doumet: I just want to follow up on the $30 million of EBITDA improvement, lots of questions there obviously. But you’ve given us an example of maybe where some of that growth can come from. Maybe just another way to tackle the question, is there an area where you feel like the business has underperformed significantly when you compare it to its peers?
Christopher Burrows: Let me tackle it, Michael. And I think that as I look and evaluate the plan that this company has put together, I think there's a number of areas that in aggregate are going to get to that $30 million. As Paul and Michael earlier said around special finance, around subprime finance to move more units, I mean, obviously, that has ancillary benefits also attached to it in terms of other things that you're selling in the business office, other parts and service opportunities that you're selling related to the sale of a car. I think that there's opportunities throughout the business and I wouldn't want to single out anything in particular and specific. But there's areas of opportunity and efficiency and productivity that have been highlighted and targeted across the entire scope of the business. So, from a marketing context, there's opportunities within how we go to market, how we do retail activation. There's opportunities in special and subprime finance. There's opportunities in what we sell within the business office and how the underwriting on those products is done. So, in aggregate, they're totaling up and forming the go-forward plan. But specifically, I think that that’s really as specific as we’re prepared to get to this morning.
Michael Doumet: And maybe just to sort of wrap up the whole sort of margin target. I mean, you commented in the release that your plan to achieve operating profits comparable to the best U.S. dealers, so I'm thinking you're looking for $30 million of EBITDA improvement in 18 months. You're also looking for improvements on top of that. I mean, with those two, do we sort of get there or is there more to do? I'm just trying to think about what's the right starting point really when you're adding $30 million and sort of where do we get to in 18 months.
Christopher Burrows: And I think that, really, those statements are directive and guiding, but they're also somewhat aspirational, right? I mean, definitely, as the company kind of realigns and reforms, it is intended to move more towards a margin profile and profitability and efficiencies that you would typically see in some of the U.S. publics that we are so often compared to. I think that as we start to add the $30 million in net-add EBITDA over the next 18 months, obviously, with the falling of Q2 today, you see the estimated EBITDA for 2018. The targets will obviously drop and reset and reform the baseline, upon which the $30 million will be added.
Michael Doumet: And maybe I just want to dig in a little bit more on the FIAT Chrysler sales in Canada in July, big decline there versus what we saw in the U.S. So maybe just first, a question on why the difference or the discrepancy, and then second, just in terms of when you expect the RAM to come in sort of reverse that trend in Q3 or Q4?
Christopher Burrows: I think that - so the RAM is on grounds now. So the 19 trucks are already here. Obviously, they're starting to sell through, and good inventory, and good supply is there. I think more importantly, a focus for the future is going to be less on any particular model or any particular brand and being able to effectively pivot in terms of what is being sold at what location. So what I mean by that is if there's short supply of RAM or any other model for that matter isn't selling tremendously well, then pivoting to something else that is selling. So irrespective of what you're selling to sell more of it whether that's new or used or different model or what have you. Structurally, you asked the question about is there something fundamentally different between the performance of FCA in Canada versus the performance of FCA in the U.S. Structurally, it would be hard for us to comment. We don’t own and don’t retail for Chrysler in the U.S., so hard for us to really comment. We’re speaking from position of retailing FCA in Canada, but I can’t comment on the U.S.
Michael Doumet: Maybe just one last question. Aside from the divestitures of the two dealerships there, any assets that you would contemplate divesting which would accelerate the repayment of debt that would have a limited impact to your profitability?
Paul Antony: Obviously, Michael, as part of the full-on strategic review, the company and the board and its management team have evaluated a myriad of possibilities. We've spoken today about what the divestiture of two dealerships. The company and its management team and its board will continue to evaluate opportunities. As of this point, there's no specific additional divestitures of non-performing assets or of unproductive assets other than what we've already disclosed.
Operator: Your next question comes from the line of Matt Bank of CIBC. Please go ahead. Your line is open.
Matt Bank: So I just want to dig a bit more into how we should read into the results in the first half of 2018, and just to get a sense of when these numbers are run rate versus onetime. So, first, on the OpEx, in the MD&A there, it's mentioned as an $11 million increase in variable admin. And the list you have in there looks like it's almost entirely onetime expenses, is that the right way to read it?
Paul Antony: That's correct, Matt.
Matt Bank: And then within new vehicle, I mean, I understand the FCA headwind, but the gross margin percentage was 5.7% which is quite a bit lower than it's been as I as I look back in my model. Is there anything onetime there? Is that just kind of the way your business is tracking from here and how should we think about that number?
Paul Antony: I think obviously in Q2, the PBR on new unit sales was lower than historical trends. I think that it's definitely been identified by management as an area to focus on, to perform better in those areas. There has been pressure on new car margins in our business over the last three to four quarters and definitely an area of focus moving forward, so an opportunity for the company and for the stores to pick up some margin.
Matt Bank: And I just wanted to turn to the balance sheet, if I could. So, you mentioned that you would continue to look at acquisitions. Just wondering, what kind of capacity to make deals do you view you have given where your balance sheet is right now?
Paul Antony: And as we look at it, in my comments earlier, we have kind of committed lenders, and we've – don't anticipate any kind of pushback there. I would also say that as we evaluate the performance, we talked this morning about disposal divestiture of two stores that obviously will redeploy that capital into better performing assets, I think that – we've talked previously, are there some lands, are unproductive – other unproductive assets potentially. There is - this is still a strong cash-flowing business down in the second quarter, but the ability to make acquisitions remains the intent of the board and the ability, I believe, is still there.
Matt Bank: And I know you've addressed this and I understand that you have the support of your lenders but just trying to understand like, let's say, that profitability in the second half looks something like the first half. What would your options be if you did trip your covenant?
Paul Antony: Definitely, that's not what our internal forecasts would assume at this point. Definitely, I think that that's why there have been drastic actions kind of put in play within Auto Canada the addition of some very talented and very capable management teams to right the proverbial ship back to a better operating financial performance. As I said, committed lenders that are there, but right now, we're not forecasting kind of any covenant breach or covenant pressure.
Matt Bank: And I just want to squeeze in one more, actually. So finance costs, just to head back to the quarter, they ran at $30 million in the quarter, and the net carrying cost of vehicle inventory is up $5 million year-to-date. I understand that there's higher interest rates. Just wondering if we should start viewing this as the new run rate for finance costs, and if there's anything in the plan to address the increase for plant cost.
Christopher Burrows: For the time being, for the purposes of modeling out inventory carrying costs, this would be a more appropriate measure from a run rate perspective. Definitely within the context of the go-forward plan, there are discrete activities aimed at evaluating the overall amount of inventory on ground, both from a new and a used perspective. And definitely the intent there is to rationalize the amount of inventory in order to manage the carrying costs of such.
Operator: Your next question comes from the line of Derek Dley of Canaccord Genuity. Please go ahead. Your line is open.
Derek Dley: And again, not to harp on the balance sheet, but clearly it looks right now like we are a little – you guys are a little bit close to your covenant. How comfortable are you guys with the current dividend? Would that be an option that reducing that dividend with the current dividend? Would that be an option that reducing that dividend might be on the table should – you're not be able to turn around the profitability as quick as you think?
Paul Antony: Derek, I think that as you'd reasonably expect, the board and company continually reevaluate their dividend policy. Each quarter when it comes time to declare such, I think that there's – if profitability were to continue to decline, there's a number of levers that can be evaluated for which lever to pull and which lever to push. And I don't think that it's a foregone conclusion that you would look at the dividend. I think there's other options and other opportunities in the absence of that.
Derek Dley: So, would you prioritize selling nonproductive assets like these two dealerships that you're discussing versus reducing your dividend policy or changing your dividend policy?
Paul Antony: I mean, the easy answer is yes, but it's not that simple. Obviously, it's part of a larger analysis about if you were to divest of noncore assets or underperforming assets, how and where to deploy that capital, and is it better to acquire an operating asset with a higher rate of return or to return that capital to shareholders if those opportunities don't exist? So, it's part of a broader analysis.
Derek Dley: In terms of the SG&A expense as a percentage of operating profit, yeah, I mean, it's been materially higher than what we're used to during the front half of the year. And you mentioned that you haven't seen anything structurally different I think at the beginning of the call or the beginning of the question period. So I'm just trying to get a sense of like what exactly happened here? How did these costs get so elevated in the front half of the year from what we're used to on a historical perspective?
Paul Antony: Well, there’s - both quarters are quite different, Derek. So, in terms of the second quarter, what you have is a couple of things that we've disclosed in our documents around incremental onetime variable admin costs related to strategic review and all things associated with that, legal and consulting type of fees. We’ve also in the first quarter or - sorry, excuse me, in the second quarter you've got a significant management transition cost to the tune of $4.5 million. So there's a meaningful and a material amount of onetime type of expenses. With the exclusion of the onetime costs from the operating leverage ratio, you'll see a decline from 91.6% down into the 86% - 85%, 86% range.
Derek Dley: No, I see that. I can do that. But it's still 10 percentage points above where we were at last year. So I mean I - I don't want to but we can take it offline. That’s fine.
Michael Rawluk: No, Derek, I think - I understand what you’re driving out. I mean, I think the other piece of that is to not lose sight that this is actually a ratio, right? So you've - there's a cost element and a gross profit element to it. And as we've seen this morning and talked about this morning, I mean definitely there's a lower profitability, a softer quarter where operating expense hasn’t matched the rate of decline in the operating performance. So there’s - let’s not lose sight of this, both sides to this ratio.
Derek Dley: And then just last one from me. With the appointment here of Bill as the Head of U.S. or President of the U.S. Operations, is Bill’s role predominantly in the near term will be more focused on just starting out the Grossinger acquisition and increasing the profitability levels at Grossinger, or should we expect any sort of expansion or acquisition activity in the U.S., or is that predominantly going to remain in Canada if and when you do see opportunities arise?
Paul Antony: So, this is Paul Anthony. I would say that we came to the conclusion that regardless of anything, we need to right-side the platform in the United States, and we also recognize that we, in Canada here, didn't have the expertise and experience to do that. And so what we love about the opportunity to partner with Bill to actually go do that is that he brings the U.S. capability to actually organize and operationalize the platform and then from there, we get to have the optionality of deciding what we want to do go forward. And so we could definitely have brought on somebody to just fix the platform but not necessarily go on and scale it. But with Bill, we think that we have the ability to not only fix the platform but grow it if we choose to, stay put if we choose to, but we have all those options. With that said, our goal is to maximize the returns from that organization, build a strong platform that we can grow much like in Canada.
Operator: Your next question comes from line of Maggie MacDougall of Cormark. Please go ahead. Your line is open.
Maggie MacDougall: Just wanted to ask, for clarification purposes, you are targeting $30 million in EBITDA improvement over 18 months over what LTM or like is it 2017? What is the base?
Christopher Burrows: Maggie, it’s actually derived as an incremental $30 million over whatever the baseline actually is. So this is separate and distinct from kind of improving the business, and discrete objectives and projects that are going to incrementally add $30 million as opposed to it’s an improvement specifically in the performance of the business.
Maggie MacDougall: So basically you've got your model for 2018 or your forecast for 2018, and you hoping to add an additional $30 million over your already budgeted 2018 EBITDA figure.
Christopher Burrows: Correct.
Maggie MacDougall: And your 2018 EBITDA expectations, do they take into account a declining new light vehicle sales marketing in Canada and the U.S.?
Christopher Burrows: I would say the current estimates on the street for the 2018 EBITDA would not take into account or may not take those into account and certainly would not take into account the results of the second quarter either. I would expect the baseline to decline.
Maggie MacDougall: But you're using consensus EBITDA estimates for 2018 as your baseline model?
Christopher Burrows: No. We're not. So obviously, we've got – we as a company have an internal model and the consensus estimate is just added to consensus estimate. I do believe that most of the research community, yourself included, will likely adjust most of the models and forecasts that are out there after the filing of today's and Q2’s results.
Maggie MacDougall: But I'm not talking about Street estimates. I'm just wondering your internal projections for improvement in the business over the next 12 to 18 months. Do they take into account a declining new like vehicle sales market in the U.S. and Canada?
Christopher Burrows: Oh, ours? Yes, it is incorporating.
Maggie MacDougall: Okay. That's good to know. And then I suppose – I'm wondering this might be a difficult question to answer, but in light of the fact that the Grossinger acquisition was done by Mr. Landry, how is it that you're comfortable keeping him on as an adviser on M&A, considering that shortly after that acquisition closed, you had to write it down?
Michael Rawluk: I would say that that - we think that Steve brings a lot of relationships to this organization. He's done a lot of wonderful things, and I would say that his skills with the OEMs and relationships with the OEMs we believe will bear fruit over the next two to three quarters. We're very close, as you know, dealing with other OEMs that we might want to engage going further.
Maggie MacDougall: Right.
Michael Rawluk: So, I would say at this point – yeah. So, I would say at this point, holding aside the Grossinger acquisition, Steve's done a tremendous job of getting this company to a different level than where it was when he took over, and now the company needs to take a different path, and we think Steve’s skillset is still very valuable in another area.
Maggie MacDougall: And then on the divestitures that you have planned, will they occur during Q3 or Q4 of this year?
Michael Rawluk: We're going to be very opportunistic with the divestitures just like we – as I said, we are with the acquisitions.
Maggie MacDougall: So, you don’t already have a buyer of those dealerships lined up.
Michael Rawluk: I mean, Maggie, as you’d appreciate, the transaction and divestiture of a store or an asset such as a dealership can take time. There are presently definitive agreements with respect to those stores. I can't speak specifically to the what and the where at this point, but it can take some time to sell those through and close those transactions.
Maggie MacDougall: And what is the present management team’s equity ownership of AutoCanada?
Paul Antony: I personally can't comment. At this point in time, I would say that currently a lot of these people have been brought in while we're in blackout. And so, I would say, at this point in time, that remains to be seen.
Maggie MacDougall: Okay.
Michael Rawluk: I would add one follow-up to that, Maggie. I think I understand the rationale and the logic behind it. As Paul said, a lot of the recent management team was hired during a blackout period, so limited opportunities. But it is entirely the intention of the company to vest all of the new executive interests in a line that with the performance of AutoCanada.
Maggie MacDougall: Do you think that any board members or members of the management team would be willing to inject their personal equity into the business, if it becomes clear that that's something that could be required?
Paul Antony: I don't think we can comment at this point in time.
Operator: Your next question comes from the line of Stephen Harris of JMP Securities. Please go ahead. Your line is open.
Stephen Harris: Just a couple of questions to follow up. And we come back to the FCA situation, the number’s route for July showed a 33% decline in FCA unit sales. That's sort of a worse pace than what we have seen in the first half of the year and is really quite an alarming number. Are you seeing that in your business today? And could you give us some thoughts about what might cause that kind of a drop in sales. There's a transition going on the pickup trucks. I know that's important but you seem to be suggesting that there is availability on the pickup trucks in the market. So if it's not that, what's causing the issues with FCA to cause such a significant decline?
Christopher Burrows: Steve, it's a challenging question to answer. Obviously with our 17 Chrysler stores, we're big retailers for FCA. We’re very supportive of the brand. We remain committed and behind it. Obviously, it's been a challenging period for them, too. It would be speculation to try and provide you an answer with - on their results with an OEM nationally or even provincially for that matter.
Stephen Harris: But you must have an idea whether the results from your stores are mirroring the national or are they different than that?
Christopher Burrows: We would be mirroring national. That’s the base assumption.
Stephen Harris: And on the OpEx side, we talked about some of the expenses being onetime in nature in Q2. There have been ongoing, I guess - a strategic review has gone on into the third quarter. We've also seen additional management transition expenses. Can you just give us a sense if there will be more of that in this quarter or did you essentially put all those expenses into Q2?
Christopher Burrows: Definitely the strategic review is concluded. So we do not expect lingering fees associated with that scope of work. There will be obviously some management transitioning costs that bleed into Q3 related to the departure of certain executives for decisions and actions taken in the third quarter.
Stephen Harris: And I just want to circle back on this $30 million of EBITDA. We've been - I think with the message you've been hearing from everybody is one of if you were in our position, how would you measure success given that there isn't really a starting point that you provided us with as a baseline? So, how do you think we should measure success, or will you be reporting progress towards that goal as you go forward?
Christopher Burrows: As I said earlier, Steve, I think that there's continuing development with respect to the go-forward plan. I would, obviously, on behalf of the company, ask for a little bit of patience as Michael has been in the chair for slightly over a month, and it'll take some time, as you would expect, for the head of operations to really wrap their arms around it. Michael Rawluk is about to embark on a plan to rightsize and reform the company towards future profitability. In the next month, he’s going to be on the road and working directly in the stores with each of our stores. And as part of that, then we'll start to see the impact of the $30 million EBITDA improvement in a myriad of ways. You'll see that in lower operating leverage. You’ll see that in improved in top line and gross profit. You’ll see that come through in a number of ways, and I would expect that all the research community in the market should be questioning of the progress against that plan.
Michael Rawluk: Guide to that, this is not a cost cutting plan. This is a growth plan.
Operator: Your next question comes from the line of Steve Kammermayer of Clarus Securities. Please go ahead. Your line is open.
Steve Kammermayer: Did the U.S. - did the Grossinger Auto Group contribute any positive EBITDA cash flow in the quarter?
Paul Antony: Steve, we don't split out what’s the profitability by business unit or business segment actually is anywhere, whether at Illinois or anywhere in Canada.
Steve Kammermayer: Maybe you can help us out then on presumably you could - you have the - what same-store sales would have been in the U.S., had you owned it for the full year?
Paul Antony: No. Because our same-store sales policies are - we don't pull in force until the first quarter after we've owned them for two years. So, those - that data is not readily available.
Steve Kammermayer: Sticking with the U.S. then, so you guys mentioned profitability would take a little longer than previously estimated. So, from your prior estimate, how much longer do you expect it will take to hit the goal?
Paul Antony: So why don't we actually turn this over to Bill Berman?
Bill Berman: Really, I have to get in-depth into the stores to really see what that is. But I think we'll definitely see a considerable amount of progress as this year plays out. And as we go into 2019, I think the stores will be fully online and producing at a very high level.
Operator: Your last question comes from the line of Patrick Wilson of Deans Knight Capital. Please go ahead. Your line is open.
Patrick Wilson: Just one last question was for the management transition. Obviously, Michael is taking on a more prominent role here. And, Paul, you've obviously stepped into the Executive Chairman role. But there's been a notable lack of announcement as far as the plan on the CEO role itself. Michael - is it the plan is for him to step into that role at some point or are you initiating a search more broadly? What's the plan for that role going forward?
Michael Rawluk: So, I would say at this point in time, I'll be assuming the role of Exec Chair, and I don't want to say CEO at this point in time. But I'll be assuming the role of Exec Chair and assuming a lot of those roles of CEO at this point in time and helping steer the company.
Patrick Wilson: So, I mean, is there a longer point - is there a plan longer term to look at filling that role that the board will look at? Obviously, Paul, maybe you'll be included in that and/or Michael. Is there a plan going forward there or is that just going to sort of fall into place?
Michael Rawluk: I think it will fall into place. I think we have a talented management team that’s just taken the seat over the course of last month and week. We’ve got a lot of moving parts in this organization. This is, to be frank with you, this is open-heart surgery, and we’re going to do what we need to do to get this company operating as a highly efficient dealer group, and we intend to do that as quickly as possible. And so while we're lacking the title of CEO, it certainly won't be - we won't be lacking a CEO, I can promise you that.
Operator: There are no further questions at this time. I will turn the call back over to the presenters for closing remarks.
Erin Oor: Thank you very much. That's all we have for today. Appreciate everyone attending. And if you have any questions, Chris is available for calls in the coming weeks.
Paul Antony: Really appreciate everybody's time. Thanks so much.
Operator: This concludes today's conference call. You may now disconnect.